Operator: Good afternoon and welcome to the MGM Resorts International Third Quarter 2021 earnings conference call. Joining the call from the Company today are Bill Hornbuckle, Chief Executive Officer and President, Corey Sanders, Chief Operating Officer, Jonathan Halkyard, Chief Financial Officer, Hubert Wang, President and Chief Operating Officer of MGM China, and Cathy Park, Executive Director Investor Relations. Participants are in a listen-only mode. After the Company's remarks, there will be a Q&A session. In fairness to all participants, please limit yourself to one question and one follow-up. Please also note this conference is being recorded. Now, I would like to turn the conference over to Cathy. Please go ahead.
Cathy Park : Thank you, Chad. This call is being broadcast live on the Internet at investors. mgmresorts.com, and we have also furnished our press release on Form 8-K to the SEC. On this call, we'll make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC.  Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. I will now turn it over to Bill Hornbuckle.
Bill Hornbuckle : Thank you, Cathy and thank you all for joining us today. Well, we delivered another quarter of strong domestic results with our Las Vegas Strip and regional segments reaching all-time adjusted property EBITDA records in the third quarter. I remain in all of what our talented teams have accomplished this year given the ongoing COVID pandemic. We are emerging from at a stronger Company, with a sharpened focus on operational efficiencies and providing the best experiences for our guests as we carry up the vision to become the world's premier gaming entertainment Company.  I continue to express my sincere pride and gratitude of the tremendous effort of our employees who are the foundation upon which we built our strategic plan and long-term vision. As a reminder, our strategic plan consists of the following four key elements, investing in our people and planet, providing unique experiences for guests by leveraging data-driven consumer insights and digital capabilities, delivering operational excellence at every level, and allocating our capital responsibly to yield the high returns to our shareholders. Our last earnings call, we discussed the meaningful steps our Company had taken to simplify our story and monetize our real estate.  We have reached a number of milestones in this regard. In August, we announced a transaction with VICI and MGP to redeem the majority of our operating partnership units and deconsolidate MGP within our financial reporting structure. In September, we acquired the other 50% interest in CityCenter, monetizing its underlying real estate and are now proud owners of 100% of its operations. In October, we monetized MGM Springfield underlying real estate as well. And these transactions grant us the financial flexibility to take foothold of front-footed actions to invest in our core business and to maximize growth and pursue opportunities that align to our long-term vision. For example, this quarter, we announced an agreement to acquire the operations of the Cosmopolitan in Las Vegas, a high-quality result with enviable product offerings, strong brand awareness, and complementary customer base making it an ideal addition to our Las Vegas Strip portfolio.  We also believe that the synergies we have identified are highly achievable. We have incredibly excited to welcome the Cosmopolitan team to the MGM Resorts family pending the transaction closing next year. Now, I've mentioned in the past that we are happy with the amount of exposure we currently have in Las Vegas. As such, we're currently in the early stages of a process to sell the operations of the Mirage. Doing so will allow us to maintain our existing Las Vegas exposure while focusing on the complementary in diverse nature of our offerings in our hometown. I spent the early part of my career at Mirage, I have been part of that team's opening at the property in 1989. It's a historic property with great brand recognition and a strong customer and loyal following.  The campus also sit on approximately 77 acres that provides attractive development opportunities to capture large amounts of foot traffic. Mirage's service well over the years, and we're certain it will remain a success with a new operator in the future. Importantly, I want to thank our valued team members at The Mirage. They are an integral part of what makes that property so special. And I know they will remain strong ambassadors of the brand during this transition. We're also remain keen on diversifying our business and further expanding our operations globally. To that end in September, we announced that our MGM Orix consortium had achieved a milestone in Japan, having been selected as Osaka's partner to build and operate a world-class integrated resort.  We are now working with Oryx in the city to submit an area development plan to the central government in the coming months and are hopeful and confident that we'll be awarded a license next year. Outside of Japan, we will continue to study key U.S. regional markets of significance. This includes the commercial gaming license in New York, for which we believe MGM is well-positioned given our existing operations at Empire city. Moving onto BetMGM. Our sports betting and iGaming venture continues to build on its success every quarter. In the Third Quarter, bet MGM launched in 3 new states, Arizona, South Dakota, and Wyoming.  And when the short 9 day period, BetMGM is now live in 16 markets and is well on its way to 20 by the end of the First Quarter of 2022. In the 3 months ending August, BetMGM commended 23% share nationwide in both U.S. sports, and betting, and iGaming. And in the month of August, we believe, BetMGM was competing for first-place driven by iGaming in which BetMGM remains the clear leader with 32% market share. We're in the middle of the NFL season and the market remains competitive. However, the team has performed exceptionally well, focusing on ROI, positive marketing spend, and we are encouraged to see early signs of a more rational environment as the season progresses.  But MGM continued momentum through this year has been extraordinary and we expect full-year 2021 net revenues associated with BetMGM will be in excess of $800 million. Finally, we think about our opportunities for organic growth in our core business. We have a great network of premiere properties across the U.S. that we believe we can better leverage to drive customer choice, increase loyalty, and maximize wallet share over time. For example, we recently launched a new tailgating experience at Mandalay for events at Allegiant Stadium. We've hosted Bruno Mars' and Lady Gaga's concert of Park MGM and completed our room remodels of Bellagio's main tower, as well as the Pyramid at Luxor with additional remodels ongoing at Aria suites and villas.  We also continue to focus on targeting strategies that draw on our competitive advantage to acquire and drive sustainable growth from high-value customers in our business. Over the years we'll invest in customer [Indiscernible] products and services to execute these strategies which we -- we'll be enabled by advanced marketing practices and enhanced physical and digital experiences. Before I turn it over to Jonathan to discuss our Third Quarter results, I'd like to make some high-level comments on our current trends and our future outlook. I must say it's simply great to be in Las Vegas right now.  We've kicked off the quarter exceptionally strong, anchored by a great 4th of July holiday, better than pre -pandemic casino spend levels and pent-up demands for the city's wide-scale entertainment relaunch, the 2 large crowds in the town, especially on the weekends. While the Delta variant impacted our group business during the quarter, we have been able to offset with a leisure and casino customers. With cases on the downswing, we have built -- quickly we built momentum into October and the level of demand in the marketplace, especially on the weekends has simply been incredible.  October will be another all-time record month. Groups are still coming to town. We have a healthy amount of group room nights on the books through the rest of the year. And we look ahead -- and as we look ahead, we feel good about our group business coming together anchored by the back half of this year and what's already on the books for '23 and 2024. With a re-launch of large-scale entertainment in July, these offerings are driving visitation to Las Vegas. Allegiant Stadium brings fans to the strip for events and we've had some of the best weekends around these events. The Raiders estimate that roughly 60% of tickets are sold to out-of-state fans.  And when the majority of the 50 to 60,000 people walking to and from Allegiant Stadium over the [Indiscernible] bridge between Mandalay Bay and Luxor, we are seeing significant broad-based uplift at both properties on event days and even more so on Raiders games. We're also driving our own destiny with a fantastic lineup of events across our venues which have been met at with great enthusiasm. Whether it was the McGregor fight at T-Mobile, which by the way produced our second highest single day for table games win in the Company's history, or the debut of our new America's Got Talent show at Luxor this week, we continue to demonstrate that the city and MGM Resorts is a leading destination for exceptional entertainment.  Turning to our regional properties, as I mentioned earlier, our regional operations delivered another all-time record EBITDA and margin quarter, driven by continued strength in our rated gaming spend levels as we yield to our higher net-worth customers With the easing of statewide restrictions, we have begun to strategically reintroduce entertainment and F&B at all of our regional properties, and I'm gratified that our customers can once again enjoy the quality experience for which MGM is known. On the cost side, our team continues to focus on productivity across labor, player reinvestment, and other streamlining initiatives.  And this gives us great confidence in our ability to sustain strong margins as we head into 2022. I'll conclude with some final thoughts on Macao. The market continues to operate well below pre -pandemic levels as varying forms of travel restrictions have limited visitation to the region. The obvious catalyst in Macau's recovery is a sustained resumption of frictionless travel between Macau, Hong Kong, and Mainland China, which heavily relies on higher vaccination rates that will take some time. When the market does rebound more meaningfully, we believe MGM China is well-positioned given its strength in premium mass.  Macau remains an important part of our business, and we have high conviction in the future success of this region. We will continue to work with the government and we are highly confident in ultimately getting our license renewed. Ongoing discussions with the government gives us a greater confidence in our belief that the process will be both judicious and fair. We look forward to further promoting the long-term development of Macau's gaming industry and to supporting the government's tourism and diversification goals for the region. With that, I'll turn it over to Jonathan to discuss the details before some final comments and questions. Jonathan.
Jonathan Halkyard : Thanks very much, Bill. I certainly join Bill in gratitude to our entire team for outstanding results this quarter. What a difference in performance and momentum as we have moved through the course of the year. And now with only 60 days until the start of 2022, I could not be more excited about our prospects for the year ahead, and it's all due to the heroic efforts of our thousands of colleagues here at MGM Resorts. Now let's talk about our Third Quarter results in some detail. Our consolidated Third Quarter net revenues were 2.7 billion, 19% sequential improvement over our Second Quarter results. Our net income attributable to MGM Resorts was $1.4 billion driven by $1.6 billion net gain from the consolidation of CityCenter.  Our Third Quarter adjusted EBITDA improved sequentially to $765 million led once again by our domestic operations. 12 of our 18 domestic properties achieved either all-time or Third Quarter EBITDA records, and 15 achieved either all-time or Third Quarter margin records. This performance was driven by strong leisure, transient, and domestic casino demand. We have demonstrated our ability to improve and expand our operations while maintaining cost discipline. All against the backdrop of ramping non-gaming revenues and a stabilizing workforce complement. Our Las Vegas Strip net revenues were $1.4 billion, just 8% below the Third Quarter of 2019. Adjusted property EBITDA for the strip was $535 million, 21% above the Third Quarter of 2019.  Hold had a $20 million positive impact on our EBITDA this quarter. So hold adjusted Strip EBITDA was approximately $514 million. Our Strip margins were 39% in the Third Quarter, 943 basis point improvement over the Third Quarter of 2019 and a slight decline on a sequential basis over the Second Quarter of 2021. This was driven by a combination of effective casino marketing efforts and continued cost discipline across the business. Availability of labor also improved sequentially each month in the third quarter, and our payroll per FTE remained in line with the third quarter of 2019. We continued to attract strong casino demand and drive healthy performance in the third quarter.  Here are a few data points. Third quarter Strip casino room nights were 27% greater than in the third quarter of 2019. Casino revenues per casino room night was up 10% above the third quarter of 2019. And not surprisingly, our slot handle was an all-time quarterly record. All of this translated into third quarter casino revenues increasing to 26% above the third quarter of 2019, contributing 31% of our total Strip revenues in the third quarter. And that compares to our casino revenue mix of 22% back in 2019. Our Strip hotel occupancy was 82% in the third quarter, improving from 77% in the second quarter.  And for the first time since reopening, the third quarter's room rates ran higher than pre -pandemic levels with ADR 10% above that of the third quarter of 2019, or 5% when we exclude Circus Circus. We finished a strong October with occupancy of 92%, the highest since reopening. And we expect November and December to be strong but also to follow seasonal slowdowns as we typically do every year heading into the holidays. As we ramped staffing and our non-gaming revenues increasingly become larger contributors to our overall business, I expect margins to come in a bit in our Las Vegas operations.  Our customers demand and are willing to pay for the breadth of offerings we provide here at MGM Resorts. And while healthy margins are an important feature of our business model and financial health, we are focused on growing our absolute EBITDA dollars, a goal well supported by future upside from the recovery and group events and international visitation. We expect our margins to stabilize well above pre -pandemic levels resulting from our efficiency and cost-saving efforts. Finally, it's important to note that we closed the CityCenter transactions towards the end of the quarter, and as a result we started consolidating CityCenter within our Las Vegas Strip results beginning on September 27th. Our Third Quarter Strip numbers include four days of Aria and Vidara's results.  Led by Anton Nikodemus and his team, the CityCenter joint venture reported quarter-to-date ended September 26, adjusted EBITDA of approximately 120 million with 40% margins. Had CityCenter been consolidated for the full quarter, our Las Vegas Strip EBITDA would've been approximately 22% higher than what we reported in the Third Quarter. Its magnitude and growth potential makes CityCenter a difference maker for us financially. Our Third Quarter regional net revenues were $925 million, just 1% below that of the Third Quarter in 2019. We delivered adjusted property EBITDA of 348 million, which was 29% above 2019 levels, and 9% above what we achieved in the Second Quarter of 2021.  Our regional casino business further strengthened in the Third Quarter with our slots and table games volumes improving sequentially by 6% and 11% respectively from the Second Quarter this year. We measure rated players spend levels through theoretical win or theo, per day net of promotions. Our net theo per day for our rated customers reached record levels in the third quarter, led by our younger demographic despite fewer trips as compared with their visitation pre -COVID. Unlike the younger crowd, visitation and spend from our 26 -- from our 65+ demographic, has not yet fully recovered, but we're encouraged with the resiliency in this segment's demand, especially through the Delta variant outbreak.  Our third quarter regional margins of 38% were another all-time record, growing 886 basis points over the third quarter of 2019. While our strong EBITDA margin has benefited from elevated casino spend, it importantly also validates the great work that our teams have put into maximizing the effectiveness of our operating model and rethinking how we run our business. Discipline customer reinvestment is a key component of this, where we track marketing efficiency across all of our properties against specific goals. With the return of more non-gaming amenities, we'll continue to exercise prudence in our marketing reinvestment strategies, taking a test and learn approach to ensure intended returns on any increases in reinvestment.  We're also rightsizing labor in the near-term, which has had a near-term favorable impact on our margins, but it's also caused capacity constraints in certain segments of our operations. Overall, I believe our regional margins will stabilize well above 2019 levels. Moving onto BetMGM, our 50% share of BetMGM 's losses in the Third Quarter amounted to $49 million, which is reported as a part of the unconsolidated affiliates line of our adjusted EBITDA calculation. Net revenues associated with BetMGM operations were $227 million in the quarter, exhibiting 17% sequential growth from the Second Quarter led by the continued strength in iGaming.  This was partially offset by heavier customer acquisition and reactivation spend from BetMGM 's successful Arizona launch and the return of football resulting in September first-time deposits growing to over 5 times that of September 2020. We know that an omni -channel customer is worth more than a single-channel customer. We're particularly excited about the mutually beneficial advantages of our omni -channel strategy with BetMGM and we remain its top partner for driving new players. In the Third Quarter, 16% of BetMGM's new players were attributed to MGM, meaning they were active with MGM in the last 12 months.  This percentage has remained in a relatively stable range, while BetMGM has significantly broadened its reach, illustrating our ability to continually optimize the conversion of M life members to BetMGM. The BetMGM team previously disclosed during their April Investor Day that MGM sourced players have much lower customer acquisition costs and over 5 times the marketing ROI when compared to non-MGM sourced players. What's also encouraging is that in New Jersey, our most mature market, based upon preliminary data, we found that MGM sourced omni -customers are spending more on-property at Borgata than they did when they were exclusively land based, and clearly the benefit goes both ways.  In the Third Quarter, 42% of our new M life sign ups have come from BetMGM which plays a crucial role in our data base expansion, a database which currently stands at over 37 million members. Finally, in Macau, third quarter market-wide gross gaming revenues sequentially declined 26% from the second quarter, and was 27% of the third quarter 2019. MGM China's third quarter results were also sequentially lower from the second quarter with net revenues of $289 million and adjusted property EBITDA of $7 million. Hold adjusted EBITDA was a $2 million loss. While the latest hurdle surrounding the local outbreaks in Macau negatively impacted travel in September and most of October, the situation has now largely been contained.  And with quarantine-free travel having resumed on October 19th, the market's seen daily visitation rebound from less than 1,000 in the first 18 days to over 26,000 for the remainder of the month. Our third quarter corporate expense, excluding share-based compensation, was $105 million, which included approximately $18 million of transaction costs for both MGM and MGP. We expect that our net corporate expense will run at a similar level in the fourth quarter, heavily driven by our ramping Japan efforts, as well as our investments in IT and digital. In the near term, we also expect to incur incremental costs related to our recently announced transactions.  We believe repurchasing our shares is an attractive use of capital. In the third quarter, we repurchased 17.2 million shares for $687 million, and we purchased an additional 1.8 million shares for $80 million in the Fourth Quarter through today. That's $1.1 billion of share repurchases year-to-date, or approximately 5% of our market cap and that is this year since March. Over the past few months, we announced some significant deals that simplify our corporate structure, further bolster our liquidity position, and advance our vision to be the world's premier gaming entertainment Company. We closed the CityCenter transactions in the Third Quarter.  In October, we closed the MGM Springfield transaction for cash proceeds of $400 million. Our transaction with VICI is on track to close in the first half of next year, subject to regulatory approvals. At which point we will bring in an additional $4.4 billion in proceeds. In September, we announced an agreement to acquire the operations of the Cosmopolitan of Las Vegas for $1.625 billion. This represents a multiple of approximately 8 times adjusted EBITDA inclusive of expected operational synergies and revenue growth opportunities that we have identified. The transaction is expected to close in the first half of next year, subject to regulatory approvals.  As of September 30th, our liquidity position, excluding MGM China and MGP, was $6.4 billion or $9.6 billion when adjusted for the Springfield, VICI and the Cosmopolitan transactions. So our approach to capital allocation is critical, and our approach to capital allocation will be as follows. First, we'll maintain a strong balance sheet with adequate liquidity. Second, we'll return cash to our shareholders and finally, when assessing potential growth opportunities, we'll invest where we have clear advantages and we'll exercise discipline in measuring prospective returns for our shareholders. With that, I'll turn it back to Bill for his closing remarks.
Bill Hornbuckle : Thanks, Jonathan. And apologize for the time and the comments, but as you can all tell, we have a lot going on. I'm proud to say I think we've accomplished
Operator: Pardon me this is the Operator. It appears that we've lost audio for Mr. Hornbuckle's location. Please be patient while we restore audio. Thank you.
A - Bill Hornbuckle : Got it. Thank you, Operator. Don't know what happened there. I apologize for the length of this, but as you can tell from Jonathan's comments, we've been extremely busy. We've accomplished obviously great deal in the past year. And I'm very proud of our entire team, and I'm enthusiastic and optimistic about our path forward. We've taken actions to simplify our corporate structure and monetize our real estate. We're maximizing our profits in our core domestic business and are reinvesting in the Company for a long-term success.  As it relates to Macau, we're confident in the eventual recovery in the region, and we believe we are well-positioned with respect to license renewals. And we're excited by the diversification of both BetMGM and Japan that it brings to our ultimate business. And as you can tell, our liquidity position is very, very strong, and we remain focused and disciplined in the allocation of our capital to drive long-term shareholder value. Again, I'd like to close, I will start by thanking all of our employees once again for their commitment and dedication to this Company. I believe we have literally the best team in the business and I'm excited about what we will further accomplish in the future together. With that, we will take your questions.
Operator: Thank you. We will now begin the Q&A session. [Operator instructions]. And our first question will come from Joe Greff with JPMorgan. Please go ahead.
Joe Greff : Good afternoon, everybody. Thank you for taking my question. Jonathan, Bill, I would like to talk a little bit about the capital allocation approach that you referenced on the call particularly that seconds still about returning cash to shareholders. I was hoping maybe you could talk about it in a different way and think about returning cash to shareholders, maybe near-term, medium-term, and long-term. Obviously in the near-term, you have more cash coming in and you get another $5 or $600 million from Mirage.  That's just even more to play with. Longer-term you have Japan but that's not going to be a huge source on in any given year. And then medium-term you have whatever external growth opportunities that maybe you want to talk about how you're thinking about that. But then, when you think about that general overlay, how do you think about the timing of capital return? And the capital return that you mentioned, Jonathan, that the share repurchases in October is -- has that paused or is that still ongoing?
Jonathan Halkyard : Thanks, Joe. I will offer a few thoughts. First of all, the real estate monetizations that we have undertaken recently, and I would include the MGP transaction in that category broadly, really is the completion of a strategy that the Company began 4 or 5 years ago. And I think when originally conceived, the idea was that we would be monetizing that real estate, returning the cash to shareholders. And so I think to address the question directly that the completion of that strategy, freeing up that cash will likely entail some accelerated return of that capital to shareholders as we've been doing this year.  That's I think a different matter from the long-term -- the longer-term plan for return of capital to shareholders, which will be driven really out of free cash flow of the business, whereas in the shorter-term it's really driven more by these asset transactions we've undertaken. And then just finally, as it relates to October, we've been -- we've been disciplined and regular repurchases of our shares, but we certainly, we moderate depending upon where we -- where we see the share price to a certain extent. So we remain active because we believe that the share prices -- the share price right now it still attractively values the Company. But we do -- we do moderate our purchases from time-to-time.
Bill Hornbuckle : And Joe just maybe additional color, look through COVID through obviously the great recession, we've got some deferred maintenance so there's a couple of projects we're going to do here regarding rooms and catching up. Not a massive amount of capital in relative terms, but real money. We are just getting started in the digital world. You understand what we've done today and as we continue to think about expanding that business with partners, through partners, or with others, that'll take some capital. Clearly it's a space in a place we've indicated many times we want to be progressive in and be dominant in, in a both domestic and potentially a global basis. And so, I think that will take some cash.  Japan, you're right is down the road. It's probably not until '24 and beyond. And New York, hopefully, they'll start earlier, I'm hoping in '23. We've given an opportunity to deploy some cash there and start to grow that business. We see it as a unique opportunity sitting on 97 acres, 15 miles in Downtown Manhattan. We can't help but think we could do more there. And so those are some of the immediate things that I think lie ahead. And then obviously, we'll wait and see.
Joe Greff : Great. Thank you.
Operator: And the next question will be from David Katz from Jefferies. Please go ahead.
David Katz : Hi. Evening, everyone. Thanks for taking my questions. I wanted to, again, go back to some of the capital allocation and pick number 3 on the list, Jonathan, which I think was external investments in a disciplined way where you feel like you have a clear advantage. And given all of the prospective events around your partner, BetMGM, I just wanted to see if there are any updated thoughts or perspectives that you can share with respect to your -- the outstanding share BetMGM and your end-to-end.
Jonathan Halkyard : Yeah, I'll -- David, thank you for the question. I'm very intentional about the order of those priorities because I do believe that returning cash to shareholders is the case to beat when it comes to making growth capital investments, and because it's the shareholder's money and so that's a purposeful hurdle that we set for ourselves. Regarding the second part of the question, I'll just -- I'll defer to Bill.
Bill Hornbuckle : Thank you. So David, look, obviously there remains a great deal enthusiasm in the market. We all saw -- and obviously we were an insider to a certain degree to the experience that DraftKings and Entain just went through. Time to tell where that all goes, if it goes anywhere. We enjoy our partnership, I think we're doing well by it. Would they've been good partners as it relates to the day-to-day business activity? We'd like to do more domestically and whether we ultimately do more internationally or not with or without them I think time will tell as well. But for now, we're going to wait and see what happens to that marketplace for a while.
David Katz : Perfect. And as my follow-up, just one detail. With respect to the fourth quarter, I suppose particularly in Las Vegas, it sounds like October has gotten off to a very strong start. But any helpful thoughts around what a new normal for the fourth quarter could be? We would normally think it might be a little bit softer than 3Q with some holidays. But just the puts and takes in review would be really helpful.
Jonathan Halkyard : I'll add a couple, David, it's Jonathan. One is certainly that we are now consolidating the operations of CityCenter. And as I pointed out in my prepared remarks, that's a material addition to our consolidated earnings for the quarter. So that's an important one. I think the other thing I would add is that mid-week occupancy in Las Vegas has really found solid footing. And where we have had some near-term cancellations in group business. It has been filled, in many cases, more than filled with transient and gaming demand.  Now, all that is against what is normally as just a softening of overall business levels as we get into late November into December. I don't think this year will be any different. But we feel very good right now with the start of the fourth quarter and we do have some of those catalysts that I mentioned.
Corey Sanders : David, it's Corey, what I would also add traditionally pre -Thanksgiving to right about the week before Christmas is traditionally slow. We, similar to last year, we're seeing some pretty good pickup during the Thanksgiving period. So this is unlike any other Third and Fourth Quarter and so it's hard to say whether -- what the new norm would be, but we're pretty optimistic about the pickup we're seeing, especially midweek. Weekends are -- every weekend from now until the end of the year is strong with strong ADR pick-up. We've got -- remember, we've got the [Indiscernible] programming every other, you got for example, this weekend you've got rolling stones at Allegiant. That's 50,000 seater. So programming just looks great.
David Katz : Okay. Thank you very much.
Operator: And the next question will be from Thomas Allen with Morgan Stanley. Please go ahead.
Thomas Allen : Thanks. On BetMGM, couldn't help but notice that you took out the billion-dollar revenue guide to next year because you're already breaking $800 million this year. Any updated thinking around next year?
Jonathan Halkyard : At this point, no. But we'll, I'm sure introduce a revised estimate for 2022 during our fourth quarter call.
Thomas Allen : Okay. A follow-up on BetMGM just -- there is some news reports out that you're one of the winning operators in New York, can you just help us think about how you're going to operate in that market with such a high tax rate?
Jonathan Halkyard : Well, look, I can assure you we want to 62% crowd. It's probably going to end up at 50%. Time to tell, but I think that's what we're all contemplating, be 9 or 10 operatives give or take. Going into it, I'm happy we have a property there. The omni -channel thing we talked about is relevant and real. We all understand it because we're in New Jersey, it's one of the more expensive media markets in the world. But I will tell you it is the largest market we will launch into date with M life database.  Obviously we haven't launched them in Southern California or California so as a database way to think about this, and we'll be there day one, which is also critical. So I think we'll get off to a great start. Time will tell with sports how much money is to be made. Again, for us, it's an omni -channel play. It's a brand play and we're going to have a huge presence there. And hopefully someday we get to online, I-casino, but that's something for well down the road.
Thomas Allen : Thank you.
Operator: And the next question will be from Dan Polser (ph) with Wells Fargo. Please go ahead.
Dan Polser: Hey, good afternoon, everyone. Thanks for taking my questions. So first on BetMGM, in just -- in terms of the value there, we all see the same level valuations for sports betting IME operators. Now that you're competing, arguably for the top spot here in terms of overall share, do you think you're getting full value for it in your stock and if not, how do you think about some of the levers that you might pull to maybe on lock that full value?
Bill Hornbuckle : Well,?EB's price there the? answer is no. If I look at DraftKings and others as a multiple. Obviously it's complicated inside a huge Company and a huge story, and we have a JV that's not in the context of basic structure. It's not pure in terms of value creation, so we understand all of that. I think as you look forward though, that we've had all enough exposure and experience to understand a couple of things. BetMGM is here to stay. It'll be a dominant player in this space. We can argue every day, all day 1, 2, or 3, what's really relevant to us are two things, we dominate in iGaming, principally based on the heels of legacy of who and what we are. I think the BetMGM folks put up a great gaming product. We've seen our branded products work exceptionally well.  We have huge database to lean into it and ultimately we are going to have a huge reward mechanism with the omni -channel idea of coming to Las Vegas for some of our regional properties to enjoy themselves with a great retail footprint. I mean, not only are we in the places that are obvious but next year in Arizona at the Cardinal Stadium, we're going to have a presence. We're literally opening as we speak in that stadium a betting shop and so we're going to be in other places and we have an opportunity finally with Illinois freeing up, to get into Illinois come hopefully March or April of next year.  And so no, obviously, we think there could be more value accretive to it. It is complicated, but we know we have a serious bet. We know we have a serious play and we're continuing to invest. And hopefully wisely, I'd like to think we've been a little bit more prudent and judicious than others. But it's it's not for the ill of heart as we know, and I still think we'll see more consolidation over time, which I think ultimate will be accretive to the players that remain.
Dan Polser: Got it. Thanks. And just for my follow-up, in terms of BetMGM for the revenue guidance, I think you said $800 million in the deck, which would imply something like a sequential decrease versus 3Q. Is there anything to read into there in terms of seasonality or maybe increased promotions from competitors that might pressure your iGaming revenues?
Bill Hornbuckle : It's 800 plus by the way, notice there's a little plus sign in that deck. So we didn't go backwards, to the contrary, football got off to a rougher start in September. But all that being said, no, it's motivated and growing in the right direction. I think you've heard Jonathan year-over-year 5 times more in terms of first-time deposits in September. We like the trajectory of the business. Arizona is off to a massive start for us and obviously we've got some other states yet to come here. So, no. We don't want to give a real number because we are truly studying it because we want to hold ourselves accountable to it. So we will, by the Fourth Quarter though.
Dan Polser: Understood. Thanks so much for all the help.
Operator: The next question is from Shaun Kelley from Bank of America. Please go ahead.
Shaun Kelley : Hey, good afternoon, everyone. Maybe wanted to touch on a couple of other areas, since we've covered a lot of ground on BetMGM, maybe it was wondering 2 specifically would be 1, Jonathan, was your comment on the margin outlook in Las Vegas. Should you give a little bit more color on you expect that to maybe trend sequentially, you're into '22 just given as you of re-ramp costs? That'd be really helpful. And then my follow-up would be if you could just talk a little bit more about the sale of The Mirage. How specifically do you identify that property as maybe the right 1 out of the portfolio to look for options for?
Jonathan Halkyard : Sure. I'll address the first and maybe pass the second one on to Bill. As it relates to Las Vegas margins, the margin's about 39% this quarter. They do benefit from the higher intensity of gaming revenue that we have. As we introduce more non-gaming revenue and offerings to the system, and that's going on literally during the month of November with a number of our entertainment offerings opening here. And we certainly we anticipate more groups and so more catering and banquet revenue. We will be making a trade and a very profitable trade over time of customers as lower worth gaming customers are yielded for in favor of group customers as we go into 2022.  Now that's a good trade for us that group customer will generate revenue per occupied room, 80% higher than a leisure customer will or lower rated gaming customer. But they will do so at a slightly lower margin and that's the effect that I was trying to describe in the remarks. So we, back in 2019, had margins in the high twenties and of course now we're in the high thirties, I expect that with the proper mix of business, that we'll be well above those margins back in 2019, meeting our profit improvement goal of $450 million across the enterprise. But believe me, we have also -- we have learned a lot about ways to do our business differently over the past 9 months and we don't intend on backtracking there to carry that better margin performance even against a more normalized mix of business.
Bill Hornbuckle : And then on the Mirage, if you think about our portfolio particularly here in Las Vegas, look there is no better place in the context of history of Las Vegas, there are no better bones. It's a center of the Strip. It was built to last and it has. There's 77 acres, many of -- much of it's really undeveloped in the context of what could be there but as we look at capital allocation and we look at the notion of diversification, we have enough of Las Vegas. And so -- and we look at the marketplace right now, obviously we're buying and selling at the same time so we understand the marketplace. We all heard Tom read yesterday, we agree. We think there is an opportune time and that we think this might be at to sell an asset Las Vegas.  And so it became for us the obvious one, as we think about our portfolio, we think about things going forward and capital allocation. And so no discredit to what's been done there. It's an amazing property and I'm excited for somebody to come in and make it their Marquee property. I think between the Villas that are there, the access to the real estate, it's general location, I think the right owner could do a lot but it just felt pretty far down in the spectrum of how much of capital we'd allocate to it in any given period of time in the near future. And so we just took a strategic decision to sell it.
Shaun Kelley : Thank you very much.
Operator: The next question will be from Chad Beynon from Macquarie. Please go ahead.
Chad Beynon : Hi. Good afternoon. Thanks for taking my question. Wanted to go back on BetMGM. Just from a product or tech standpoint, we've seen a lot of new features and just different products that have rolled out. Is there anything from a same-day parlay, live dealer, social features that you currently aren't offering that others are to help with retention? And I guess if not, is there anything on the come that'll help you keep your customer base as others are pretty aggressive with marketing? Thanks.
Bill Hornbuckle : I mean, fair question, Chad. I mean, all of the above. We have just launched with Evolution some product out of New Jersey and we are doing the same in Michigan with Live dealer. We think it's an integral part of the business and something that people are leaning more and more into will be there. Same with same-day parlay. We've got a bunch of product work and revisions. We didn't want to do it in the middle of football season. That tends to -- as we tried to do some couple things last year got us in a little bit of trouble.  And so we'll continue to evolve. The great part about relationship with Entain is there are literally 3,500 people in [Indiscernible] who are focused on a lot of their businesses, but primarily ours. And so Adam and their whole team, Matt, and Company, have about 8 or 9 things, shared wallet, all kinds of things that will change that dynamic and continue to develop that product as a priority because it will be part of the race over the next couple of years in terms of getting and sustaining and retaining customers.
Chad Beynon : Okay. Thanks. And then separately regarding some comments you made before about the hub and spoke approach, owning and operating some premier assets around the country outside of Las Vegas that you can feed into Vegas. Does the acquisition of CityCenter and Cosmo and the disposition of Mirage change how you're thinking about that given that your properties will just skew more luxury pro forma?
Bill Hornbuckle : No, not really. I think I understood the nature of the question is we skew up the spectrum will the regional property be able to feed that? I would still suggest with Excalibur, Luxor, and New York to a certain degree park and to a certain degree MGM of [Indiscernible]. Remember, we got 40,000 rooms in Las Vegas to fill. And what is clear and differentiating between us and Caesar's is our casino marketing share is 100 basis points behind their's in terms of market mix. And so no, I think there's room and opportunity for both simultaneous.
Chad Beynon : Thanks Bill, appreciate it.
Operator: And the next question will be from Jon Galligan from CLSA. Please go ahead.
Jon Galligan: Yes. Thank you for taking the call. 2 questions, 1, can you talk a little bit about whether you've seen a recovery in Macau post Golden Week with COVID cases now coming down? And secondly, also on Macau, can you talk a little bit about where we are with the concession process now that the public consultation period has ended? What happens next and where do you see this going?
Bill Hornbuckle : Hubert, I know you're awake so thank you. You want to handle the first part of this?
Hubert Wang : Sure. Thank you, Jon, for your question. The travel restrictions were lifted in October of '19, and right after that, we saw business start to ramp up. And right now, the travel requirement is NAT test within 48 hours. And so we have seen the key indicators on business side going back to early part of September, and in some cases, even stronger going back to July, depending on which segment you're looking at. We're in the traffic indicators we are looking at. So overall speaking, I think that's -- it's on the rise. And we also anticipate that on middle of November probably will get back to a higher level to July level, if everything remains calm in China and in Macao, there's no serious outbreak. So regarding concession progress, I think I'll look to Bill for that question.
Bill Hornbuckle : Yeah, and John, I think just to put a capstone on Hubert's comment, we've gone from losing money to making a little bit of money again. We've shifted back into the black, and as long as we don't hit yet another instance, we'll hopefully stay there and grow from that. Obviously, we've submitted on the 29th, like all the other concessionaires and many other people in the community, by the way. Answers to the 9 core questions that were asked. We had an opportunity to brief that with the government. They'll now continue their public consultation process. I suspect that will go on for another 30 days or so. That's obviously up to their discretion when to end that and form some of their own opinions. Whether this all gets done in time for June, we don't know yet because there are some steps that they still have to publicly go through with LegCo. But I feel good about what was said. I feel good that we had an opportunity to air some of our concerns and that they were heard and listened to. And so I think it's relatively given the environment and given what's at stake, been progressive. We've been there like everyone else 20 years. They've been fair to us to date as we have to them. And I think we've been good to the community and vice versa. And so hopefully we continue on whether this gets done by June, I just don't know, there's some complications around several of the issues as you know and so time to tell.
Operator: And thank you. The next question will be from Stephen Grambling from Goldman Sachs. Please go ahead.
Stephen Grambling : Hi, thanks. My first question is just really a follow-up on Bet MGM and I may have missed this, but what is the current split of the $227 million in revenues between iGaming and sports betting and then as you noted, omni -channel, customers tend to be more valuable. How do you strategically align incentives between managers of your physical assets and those that Bet MGM to ensure you maximize the total value?
Bill Hornbuckle : Well, for competitive reasons, I'm not going to give out the outright split, but just say it leans heavy iGaming, which I think longer-term speaks to the success of the model that we're pursuing. We have -- and one of the reasons that the iGaming is doing so well, it's both the product and ultimately the team there and CRM has done an amazing job. Reports of the job that I want to catch up with MGM too in the context of reaching out to customers, understanding game types, cycles, what they like to do, how they like to do, how to personalize it for them, identifying them.  And then we have hosting groups both at BetMGM and MGM that are tied together. We have, for example, on-site here we have a Vice President of Marketing, whose principal and only job is to market to and make sure programs are attached to Bet MGM in those customers. Whether it's sign-up when somebody registered at Aria down to making sure their best customers are taking care of. Making sure they get tickets for what they may want to have earned or done. And so, we're as linked up as one can be at this point in time.  I think we have some work to do on the back-end loyalty to make a completely seamless. But now through tier credits, they have exposure to anything and everything they want and can get. And so -- again, we lean heavily into iGaming, I feel really good about it. And we'll continue to develop product and it's a combination of branded product, homemade products, and licenses with some of the biggest brands. And generally speaking, doing very well.
Stephen Grambling : And then maybe one other follow-up for Jonathan regarding simplification and capital allocation. Can you remind us after all is said and done with Cosmo and MGP, where is the least adjusted net debt to EBITDA enterprise-wide and as we look at the U.S. versus China, and how do you think about the right leverage on the business as we think about those capital allocation priorities? Thanks.
Jonathan Halkyard : Yeah. Thank you for the question. We'll be updating that next year as we get closer to the closure of the MGP transaction and clearly to provide that metric right now would be to provide guidance into 2022 consolidated EBITDA and we're not going to do that yet. Regarding the question around leverage for the business.  I do think on a lease adjusted basis, this business can comfortably sustain 4 to 5 times leverage and that's adjusting our lease expense at 8 times the rent which is the convention and observers of the Company. I think given the Company's diversification both geographically as well as by business segment, that we can sustain that level of leverage. But as we get into next year and closer to -- closer to the closure of these transactions we will update where those measures are.
Stephen Grambling : Sounds good, thanks so much.
Jonathan Halkyard : Thanks.
Operator: The next question will be from Robin Farley from UBS. Please go ahead.
Robin Farley : Great. Thanks. I wanted to go back to BetMGM for a moment. During the quarter, Bill I think [Indiscernible] mentioned publicly the potential to buyout your joint venture partner and I guess how should we think about whether that would be a better outcome for you than having the joint venture with them [Indiscernible], would you essentially use those tech help if you were to buy out the other half of the joint venture?
Bill Hornbuckle : Thanks, Robin. Look, obviously a great deal of commentary speculation in editorialization back and forth over the last 45 days. We would not do eventually without technology. This is a technology-based enterprise at the end of the day. And so that becomes a key point of what to do and how we think about our future. Given the environment that was being described, there was potentially an opportunity to walk away with technology. And so that would've been interesting. We were prepared to do it if in fact the other parties could get to the finish line or decide to get to the finish line.  There wasn't at all of the details worked out, but time to tell whether that ultimately gets to -- that looks whenever, but time to tell whether we ultimately end up in a different place. For now though, again, let's go back to where we were. We were contempt and happy with our business. How it's progressing. We wouldn't do it without a technology platform to be sure, and right now I'm not anxious to do it. I mean, I like where we are to developing business.  I like the fact that untamed shares and half of this development costs. It's a progressive and aggressive environment as we know. And so I still like where we are, but I'm not -- we did comment earlier that we want to be bigger, we want to be global, we want to be a lot of things. And time will tell how we ultimately project into that space.
Robin Farley : Okay. Great. That's helpful. Thanks. And if I could ask a follow-up on the margin topic, the margin of your operations. I think that you might have said the last quarter that you thought you would keep about half of the margin improvement when things stabilize. I may not be remembering that right but is that -- I don't think I heard you say that today, and so I'm wondering if you're thinking higher than that or lower than that when you think about that stabilization. Thanks.
Jonathan Halkyard : Yeah, that's a fair estimate. It's -- really it's difficult to anticipate right now,just given the way in which the business mix ultimately levels out, but that's not a bad estimate.
Robin Farley : That's similar to what your thought was?
Jonathan Halkyard : Yes. Our view of the way that our margins evolve has really not changed in the past quarter.
Robin Farley : Okay. Great. Thank you very much.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Bill Hornbuckle for any closing remarks.
Bill Hornbuckle : Thank you, operator. And thank you all again, I know on the East Coast it's late. Look, obviously, we've had a stellar quarter. Again, I couldn't be prouder of the team. Things are motivated in moving at MG -- at Bet MGM. We've got a lot up in the air. Obviously the announcement of Mirage, which we have told that team about a half-hour before this call. We'll try to continue to be as transparent of that process as we can go in forward.  But we're excited by our future. I believe in Macau will stabilize. I believe we're in good position there. We have one in Osaka and it's hard to imagine that Osaka does not become one of the 3 designated in -- locations. But again, we will see what happens come middle of next year. And I'm really pleased with the operating environment we've created. COVID has taught us a lot. We have figured out how to do things with less and do them productively. There are still a couple of short places we need to fill some staff and open up operations. But overall, I'm excited by where we are and frankly excited by our future. And obviously, we've got a great deal of liquidity and the potential to put that to work for our shareholders like this Company hasn't had in a very, very long time. And so I think for all of us, it's pretty exciting news. Again, thank you for your time.
Operator: And thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.